Operator: Good day, and welcome to the Enova International First Quarter 2022 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Cassidy Fuller, Investor Relations. Please go ahead.
Cassidy Fuller: Thank you, operator, and good afternoon, everyone. Enova released results for the first quarter 2022 ended March 31, 2022, this afternoon after the market closed. If you did not receive a copy of our earnings press release, you may obtain it from the Investor Relations section of our website at ir.enova.com. With me on today's call are David Fisher, Chief Executive Officer and Steve Cunningham, Chief Financial Officer. This call is being webcast and will be archived on the Investor Relations section of our website. Before I turn the call over to David, I'd like to note that today's discussion will contain forward-looking statements, and as such, is subject to risks and uncertainties. Actual results may differ materially as a result from various important risk factors, including those discussed in our earnings press release, and in our Annual Report on Form 10-K, quarterly reports on Form 10-Q, and current reports on Form 8-K. Please note that any forward-looking statements that are made on this call are based on assumptions as of today, and we undertake no obligation to update these statements, as a result of new information or future events. In addition to U.S. GAAP reporting, Enova reports certain financial measures that do not conform to Generally Accepted Accounting Principles. We believe that these non-GAAP measures enhance the understanding of our performance. Reconciliations between these GAAP and non-GAAP measures are included in the tables found in today's press release. As noted in our earnings release, we have posted supplemental financial information on the IR portion of our website. And with that, I'd like to turn the call over to David.
David Fisher: Good afternoon, everyone. Thanks for joining our call today. I'll first provide an overview of our first quarter results, and then I'll discuss our strategy and outlook for the remainder of 2022. After that, I'll turn the call over to Steve Cunningham, our CFO, who will discuss our financial results and outlook in more detail. We are pleased to start the year on such a positive note with a seasonally robust first quarter highlighted by stronger than expected demand. Originations were particularly strong in our SMB and near-prime businesses. We also continue to see good credit quality across all of our businesses well below pre-COVID levels. Net charge-offs of 7.6% in the first quarter or less than half those in the first quarter of both 2020 and 2019. Given these dynamics, we meaningfully leaned into the demand with our marketing efforts. Marketing spend was 24% of revenue in Q1. While this is higher than historic levels, a portion of the increase is due to our switch to fair value accounting where no marketing costs are deferred to future periods, resulting in higher marketing costs as a percentage of revenue in periods of strong growth. Steve will provide a bit more detail on this impact, which we've discussed in prior quarters. But more importantly, at these current levels of spend, our expected unit economics on our recent vintages remain well above our targets. But as always, we will keep a close eye on these metrics to ensure we produced sustainable and profitable growth over the long-term. As a result of the strong demand and our successful marketing, total company originations for the first quarter, totaled just over $1 billion, nearly flat sequentially from a very strong Q4 and more than doubled originations during the first quarter of 2021 while our portfolio grew 71% to $2.2 billion in the quarter. Originations from new customers remain strong at 44% of total originations, showing our ability to continue to take share across our non-prime lending businesses. As evidenced by the strong loan growth in Q1, combined with the continued strong credit metrics across our portfolio, our customer base remains resilient despite some of the turbulence in the macroeconomic environment, including concerns over inflation. A large contributor to the stability of our customer is healthy wage and job growth. Americans are experiencing the highest level of job security on record by many measures. New claims for unemployment benefits are turning at their lowest level since 1968, a sign of how few layoffs are happening in the tightest labor market in half a century. In addition, wages have grown almost 6% over the past year, far faster than the normal 2% annual growth over the last couple of decades. Low unemployment plus inflation generally mean consumers may need loans for additional capital to manage through unexpected spikes and expenses, but earning money to pay back those loans. And overall, our customers appear being managing well through the current rise in inflation. A recent analysis we performed on our customers electronic [bank] statement data and shown that while expenditures on a typical basket of goods has increased. There was enough of a cushion in discretionary spending to absorb the higher cost of things like groceries and gas. Therefore, we do not see much risk to portfolio health from inflation. This is further evidence of the point that we have made many times in the past. Non-prime consumers and small businesses are very sophisticated at managing their finances and in many cases better than prime customers. We are also seeing strength in small businesses who have been beneficiaries of the economy reopening as a pandemic wave. Credit performance speaks for itself in that portfolio and we continue to monitor real time cash flows of our SMB customers as well as external data to monitor industries in order to adjust our pricing and exposure against the current trends and the macro environment. And the final point on inflation, given the spreads and our average APRs over our cost of capital, small increases in the Fed funds rate will not have a meaningful impact on our profitability. As Steve will discuss in more detail, the strong performance and long-term stability of our portfolio means we continue to be able to secure low cost financing as needed. The result is that we actually expect our overall cost of funds this year to be meaningfully lower than in prior years even with the recent and expected rise in rates. As you may recall, first quarter seasonality typically results in a sequential revenue decrease from the fourth quarter driven by tax refunds. However, as a result of the strong origination growth this year, revenue in the first quarter increased 49% year-over-year and 6% sequentially to $386 million and benefiting from the strong credit performance, we produced solid bottom line returns as well with adjusted EBITDA of $106 million and adjusted EPS of $1.67, both up 4% from the fourth quarter. As we have discussed in depth, our highly diversified portfolio provides us additional protection against changes in the macroeconomic environment, changes in regulation and changes in the competitive environment. In the first quarter, small business products represented 56% of our portfolio while consumer accounted for 44%. Within consumer, line of credit products represented 28% of our consumer portfolio, installment products accounted for 70% and short-term loans represented less than 2%. We continue to expect the mix between consumer and small business to fluctuate over time, based on both macroeconomic factors and seasonality. In summary, we are very encouraged by the momentum in the business. We are seeing the strong demand we witnessed in Q1 continue into the first part of this quarter and longer-term, we are very confident that our highly flexible online-only business model and well diversified portfolio will enable us to continue to capture market share. In addition, we believe that our long track record of quickly adapting to changes and market conditions and our nimble team will enable us to continue to effectively manage risk and growth. Now I would like to turn the call over to Steve Cunningham, our CFO, who will discuss our financial results and outlook in more detail. And following Steve's remarks, we will be happy to answer any questions that you may have. Steve?
Steven Cunningham: Thank you, David, and good afternoon, everyone. As David noted in his remarks, we delivered another solid quarter of top and bottom line financial performance as our diversified product offerings, machine learning powered credit risk management capabilities and effective marketing allowed us to meet stronger than expected consumer demand with attractive unit economics. Turning to Enova's first quarter results. Total company revenue for the first quarter rose 6% sequentially and increased 49% from the first quarter of 2021 to $386 million. Revenue was driven by the continued growth of total company combined loan and finance receivables balances, which on an amortized basis were $2.2 billion at the end of the first quarter, up 11% sequentially and 71% higher than the first quarter of 2021. As David noted, total company originations for the first quarter totaled just over $1 billion, nearly flat sequentially and more than double origination during the first quarter of 2021. Originations from new customers remain strong totaling 44% of total originations as our marketing activities remain highly effective. Small business revenue increased 15% sequentially and 75% from the first quarter of the prior year to $133 million. Small business receivables on an amortized basis totaled $1.2 billion at March 31, a 20% sequential increase and 74% higher than the end of the first quarter of 2021. Small business originations increased to $659 million, up 14% sequentially and more than double in the first quarter of 2021. Revenue from our consumer businesses increased 2% sequentially and 37% from the first quarter of 2021 to $249 million. Consumer receivables on an amortized basis ended the first quarter at $963 million, up slightly from December 31 and 69% higher than the first quarter of 2021 as consumer originations more than doubled from the prior year quarter to $382 million. Looking ahead, we expect total company revenue for the second quarter to be slightly higher sequentially. The net revenue margin for the first quarter was 70% and was at the high end of our expected range as credit quality, which is the most significant driver of portfolio fair value remains solid and in line with our expectations. The change in fair value line item included two main components, net charge-offs and changes to the portfolios fair value, resulting from updates to key valuation inputs, including future credit loss expectations, prepayment assumption and the discount rate. I'll discuss both items in more detail. First, the total company ratio of net charge-offs as a percentage of average combined loan and finance receivables for the first quarter was 7.6%, up from 6.7% last quarter, and up from 4.2% in the first quarter of 2021, but still well below the pre-pandemic rate of 16.8% and 15.4% during the first quarters of 2020 and 2019, respectively. As we've noted in previous quarters with originations growing, less-seasoned receivables comprise a larger proportion of our portfolio causing total company credit metrics to trend toward more typical historical levels as newer origination vintages track along their expected loss curves over time. These expectations are key inputs into our unit economics framework that has allowed us to consistently deliver solid margins and strong returns on shareholder equity. Even with nearly $3 billion in originations over the past three quarters, credit metrics for both our small business and consumer portfolios remain favorable to comparable pre-COVID periods as payment performance continues to be in line or better than our expectations. The first quarter net charge-off ratio for small business receivables was 1.9%, up from 80 basis points last quarter, but below the prior year ratio of 2.6% and below pre-pandemic periods as we continue to see strong payment performance across all of our small business products. The consumer net charge-off ratio for the first quarter increased to 14.2% from 13.3% last quarter and 6% in the prior year quarter. With the growth in consumer receivables in recent quarters, especially from new customers, we expected this credit normalization in the consumer portfolio from unsustainably low levels. The consumer net charge-off ratio remains well below the pre-pandemic rates of 18.7% and 16.6% that we reported for the first quarters of 2020 and 2019, respectively. The fair value of the consolidated portfolio as a percentage of principle was 107% at March 31, up from 105% at the end of 2021. The improvement in the fair value of the consolidated portfolio resulted mainly from improvement in our credit outlook, partially offset by an increase in discount rates. The percentage of total portfolio receivables past due 30 days or more was 5.2% at March 31, down slightly from 5.3% at the end of 2021 and lower than the 7.6% ratio at the end of the first quarter a year-ago. In addition to future credit loss expectations, every quarter, we also evaluate discount rates and other key valuation assumptions used in our fair value models. As a result of this analysis for the first quarter, we increased the discount rates used in the fair value calculation by 50 basis point to incorporate observed market information. To summarize, the change in the fair value line item this quarter is driven primarily by relatively low levels of net charge-offs, higher discount rates and credit metrics and modeling at the end of the first quarter that continue to reflect a solid outlook for expected future credit performance for our rapidly growing portfolio. Looking ahead, we expect the net revenue margin for the second quarter of 2022 to range between 63% and 68%. With stable economy with more normalized credit and continued growth in originations, the net revenue margin should range between 55% and 65% as less-seasoned loans become an increasingly larger proportion of the portfolio. Our future net revenue margin expectation and the degree and timing of future normalization in the ratio will depend upon the timing, speed and mix of originations growth. Now turning to expenses. Our operating expenses this quarter reflect higher marketing cost and strong customer demand that drove stronger than expected originations as well as the continued scaling of our fixed costs. Total operating expenses for the first quarter, including marketing were $168 million or 44% of revenue compared to $108 million or 42% of revenue in the first quarter of 2021. Marketing expenses totaled $93 million or 24% of revenue compared to $29 million or 11% of revenue in the first quarter of 2021. The level of marketing spend during the quarter reflects the effectiveness of our marketing programs to capture stronger than expected customer demand, especially from new customers with strong unit economics. As a reminder, under fair value accounting, we recognized marketing expenses in the period they are incurred, instead of deferring a portion and recognizing them over the life of the loan as we did prior to 2020 and as many in the industry still do. Looking forward, we expect marketing expenses as a percentage of revenue to be approximately 20% next quarter, slightly higher during periods of higher seasonal demand later in the year, but will depend upon the growth and originations especially from new customers. Operations and technology expenses for the first quarter totaled $41 million or 11% of revenue compared to $36 million or 14% of revenue in the first quarter of 2021. Given the significant variable component of this expense category, sequential increases in O&T costs should be expected in an environment where originations and receivables are growing and should range between 10% and 12% of revenue. General and administrative expenses for the first quarter totaled $35 million or 9% of revenue compared to $44 million or 17% of revenue in the first quarter of 2021. Excluding a one-time reduction to personnel-related costs, G&A expenses would have totaled approximately 10% of revenue. While there maybe slight variations from quarter-to-quarter, we expect G&A expenses, as a percentage of revenue, to trim below 10%, as we move through 2022 and as these expenses scale with growth. Our stock-based compensation expense is $5.4 million in the first quarter, which compares to $5.8 million in the first quarter of 2021. We expect normalized stock-based compensation expense should approximate $5.5 million per quarter going forward. Our effective tax rate was 23% in the first quarter, which decreased from 27% for the first quarter of 2021. The decrease resulted primarily from increased stock-based compensation deductions. While there maybe slight variations from quarter-to-quarter, we expect our normalized effective tax rate to be in the mid-to-upper 20% range. We recognized adjusted earnings and non-GAAP measure of $58 million or $1.67 per diluted share compared to $1.61 per diluted share last quarter and $2.20 per diluted share in the first quarter of the prior year. The trailing 12-month return on average shareholder equity using adjusted earnings was 24% during the quarter compared to 45% a year-ago. We ended the first quarter with $246 million of cash and marketable securities, including $132 million in unrestricted cash and had an additional $404 million of available capacity or $1.2 billion of committed facilities. Our debt balance at the end of the quarter includes $769 million outstanding under committed facilities. During March, we added $234 million of additional funding capacity across all four of our existing consumer and small business securitization warehouse facilities. The ability to increase the capacity in each of our existing committed facilities at the same attractive terms reflects the strength of our partnerships with our bank lenders as well as the solid credit performance of our portfolio. Our cost of funds for the first quarter was 5.9% versus 8.6% for the first quarter of 2021. And at the end of the first quarter, our marginal cost of funds ranged from 2.5% to 4.5%, depending on the facility utilized. Demonstrating our confidence and the continued strength of our business relative to our current valuation, during the first quarter, we acquired approximately 1.8 million shares at a cost of approximately $74 million. At March 31, we had $72 million remaining under our $100 million share repurchase program. Our solid balance sheet and ample liquidity give us the flexibility to continue to deliver on our commitment to long-term shareholder value through both share repurchases and investments in our business to drive meaningful, sustainable and profitable growth. To summarize our outlook, with continued strong customer demand and meaningful growth in originations and receivables, we expect the net revenue margin to range between 63% and 68% next quarter and to normalize in the range of 55% to 65% over time. In addition, we expect marketing expenses of approximately 20% of revenue next quarter, and to be slightly higher as a percentage of revenue during periods of higher seasonal demand later in the year. We also anticipate continued scaling of our fixed costs with growth. These expectations should lead to adjusted EBITDA margins in the mid-20% range. Adjusted EPS in 2022 should benefit from continued receivables growth, solid EBITDA margin, a lower portfolio cost of funds and a declining share count with quarterly year-over-year increases in adjusted EPS expected to resume in the second half of 2022. The degree and timing of these expected trends and any normalization will depend upon the timing, speed and mix of originations growth. We remain confident that the demonstrated ability of our talented team to adapt to any changes in the operating environment, by leveraging our resilient, direct online-only business model, diversified product offerings, nimble machine learning powered credit risk management capabilities, and our solid balance sheet has us well positioned to continue to drive profitable growth while also effectively managing risk. And with that, we'd be happy to take your questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from David Scharf with JMP Securities. Please go ahead.
David Scharf: Hey. Thanks, and thank you for taking my questions. Hey, Dave, kind of wondering – I'll leave kind of credit and all the macro questions to others, which obviously remain very topical. I wanted to ask you a little bit about competition though in particularly small business, I guess, it looks like the small business platform mostly OnDeck, I mean it's well over 50% of receivables now, but it's 34% of revenue, obviously it carries with it lower average yields. So the trends in those yields obviously have a pronounced impact on our revenue modeling. Can you just update us on what's going on competitively, particularly in the context of maybe four or five years ago, it seem like you couldn't turn on satellite radio without hearing a million small business lending ads. I've recently seen OnDeck on TV more, but if you can provide a little bit of context on sort of competition pricing market share outlook for that business? That would be helpful.
David Fisher: Yes. Sure, David. And I'm glad you heard the OnDeck ads. We've definitely been ramping them up hopefully with a little bit more diligence than OnDeck was running ads three or four years ago. But we've definitely jump back into kind of broader base advertising in that business and it's been working really well. As you can see in the first quarter results, that's something we started in kind of late Q4. And so it's been working well. Okay, competition in that business and really in our consumer business as well, it's not something that changes quickly. I mean, these are big businesses that are complex, require lots of funding, underwriting models that take years to develop, and so just not much moves quickly on the competition side. So we saw some changes kind of around the time of COVID. First, Kabbage selling to American Express was a pretty big change. They were a big player in the industry and are now focused below 36%, really on kind of prime – prime small businesses. And then with some companies exiting kind of during COVID, couldn't make it through kind of the first part of the COVID phase. And so that provided some tailwinds for us as well. But as you look forward for a new entrant to come into space and make a splash is something that would take many, many, many years and really no signs of that occurring. So we feel really good about our market positioning in the small business space with adding OnDeck to our two existing small business brands, we are clearly the largest player kind of in the non-prime small business lending space. And as we kind of increase our advertising and our scope, we certainly expect that to continue.
David Scharf: Okay. So it sounds like we shouldn't deal any pressure to modify our kind of APR assumptions on that product from kind of the low-to-mid forward.
David Fisher: We are not feeling APR pressure in our small business products.
David Scharf: Great. Hey, and one follow-up. It looks like not withstanding very strong originations and above trend marketing both for the first quarter, you still manage to buyback almost 5% of the company. I guess based on just your sort of internal outlook for volumes for the remainder of the year, just gauging demand right now. I mean, would you anticipate kind of re-upping the authorization? I mean, or do you kind of run into some funding bottlenecks as you start to see volumes grow even more?
David Fisher: So we do not see any funding bottlenecks at all. As you saw during the quarters you heard, Steve mentioned, we increased many, if not – yes, many if not all of our facilities during the quarter, the size of the facilities during the quarter, which is great. Even in a little bit of choppy markets, we had no problem whatsoever accessing additional capital. So we are not feeling any funding constraints. We don't expect to feel any funding constraints. And look, our stocks sold off over $10 during the quarter. And when we see stuff like that happen, we're going to continue to be opportunistic in terms of investing in it.
David Scharf: Got it. Great. Thank you very much.
Operator: And our next question will come from Vincent Caintic with Stephens. Please go ahead.
Vincent Caintic: Thanks. Good afternoon. Thanks for taking my questions. This first question, just kind of thinking about how the economics will be during kind of consumer credit normalization. And one question I've been getting from investors is the fair value mark. So I guess when as the consumer credit normalizes, and maybe also rising benchmark interest rates and rising inflation, I guess, how should we think about the fair value as a percentage of principle going forward? Is there kind of a right level or maybe what a more normal level would be like going forward? Thank you.
Steven Cunningham: Hey, Vincent. This is Steve. So if you take a look at consumer, I mean, we are seeing it normalized. You can see the stats over the past few quarters, and you can see how strong the fair value marks have hung in. And it gets back to the way we think about making marginal decisions. It ties in very well with the unit economics, and the way we think about driving returns for the company. So there maybe some variations from quarter-to-quarter depending on seasonality, but I think you'll see the fair value marks settle in for consumers somewhere between 105 and 110 on average for the most part, when we're sort of at a steady state growth pattern that you're used to seeing sort of looking back over time.
Vincent Caintic: Okay. That's helpful. Thank you. And then another question on securitization markets. So I think your funding was really impressive this quarter, you're able to upsize everything and it really stands in contrast with candidly some other FinTechs who had trouble accessing the capital markets over the past quarter. So maybe if you could talk about in more detail sort of what you're seeing in terms of the demand for your – for investors to fund your paper and contrast that with what you're seeing maybe with the capital markets generally? Thank you.
Steven Cunningham: Yes. Sure. So we've followed, if you just sort of follow back over time, we've been very focused on continuing to diversify our liquidity stack using securitization and term markets and the revolver as well as occasionally senior notes. So we try to have that flexibility and we work very closely with our partners to make sure that we're not having to be in any one particular market at any one time, just given that they can be choppy at certain times. But we've had – if we can access today, we can access those markets. If we so choose to access those markets, we're not having to do anything. So that gives us the flexibility to continue to manage liquidity and provide that flexibility to do buybacks as well as grow the business, but also be able to manage our costs along the way. So you should expect us to continue to focus on that. And it's really a testament to how the portfolio is performing right, without – in securitization markets without that type of performance, you're not going to be able to do that. So it really speaks to the strength and predictability of what we've been able to accomplish over time.
Vincent Caintic: Okay. Great. I appreciate it. Thank you.
Steven Cunningham: Sure.
Operator: And our next question will come from John Hecht with Jefferies. Please go ahead.
John Hecht: Good afternoon, guys. Thanks very much. Yes, so you're growing nicely in all of your segments, but obviously this quarter you saw a little bit of increased growth relative to the other segments in small business. Dave asked about competition. I'm wondering kind of from the other side though, where do you think you are gaining market share? Is there a certain geography or certain types of industry or certain types of product base that you're kind of I guess more rapidly getting into the market? Or is it just full expansion at all sides of that category?
David Fisher: Yes. I think on the small business side, a lot of which is awareness. OnDeck had been out of the market, like in terms of spending a lot on advertising for a while before we bought them just because of challenges in their business. And then during COVID, obviously we’re not spending a ton of kind of broad based marketing in the small business side. And now that we kind of been more aggressive with the marketing spend, I think just awareness around small businesses that there are great online alternatives where they can get fast, easy access to capital to help grow their businesses and be successful is really resonating. And so I think small businesses just accessing capital more. So I think the markets increasing right now, small businesses have a pretty strong appetite for growth, but also for kind of more traditional non-bank small business lenders. I think kind of the online approach with kind of the speed and the ease and the transparency is really appealing to businesses.
John Hecht: Okay. That's helpful. And then maybe if you could talk about, I mean, I guess this is sort of tied to the credit part of the equation. It's just borrower behavior. I mean, what are small businesses borrowing for now relative to where they were a few months ago? And then consumer, I mean, we're hearing consumer borrowing, I guess the catalyst for borrowing maybe changing because of inflation and so forth. I'm wondering if you are able to identify that and give us any thoughts on that.
David Fisher: Yes. So I think on the small business side, it's really just for expansion as economy continues to reopen. Some of these small businesses pulled back and really got hurt during COVID. And now that the economy is pretty wide open at the moment and consumers are back spending with them, they're still trying to ramp back up. And so there's a lot of small business spending around that and that's driving a need for capital. On the consumer side, it almost feels like its back to pre-COVID. There is temporary dislocations between their income and their expenses. As I mentioned in my prepared time today, we're not seeing a huge impact from inflation per se. We can see – we have bank statement data for a large percentage of our consumer customers. Yes, we can see additional spending on food and gas as there has been some inflationary impact there kind of offset by a slight pullback on discretionary spending. So kind of cash balances on the consumers are relatively steady from six months ago. So the spending needs, the credit needs on the consumer side is again back to those historic needs. Many of the consumers are living paycheck to paycheck. And when they have temporary needs, temporary dislocations between their income and their expenses, that's when they need to access credit. So yes, I would kind of think about it as where past-COVID impacts on the consumer side, and it's looking much more like 2018, 2019.
John Hecht: Great. I really appreciate that guys. Thanks.
David Fisher: Yes. Sure. No problem.
Operator: [Operator Instructions] And our next question will come from John Rowan with Janney. Please go ahead.
John Rowan: Good evening, guys.
David Fisher: Hi, John.
John Rowan: I'm going to ask different versions of what [indiscernible]. Is there – what is the remaining buyback authorization if any?
Steven Cunningham: Yes. John, it's about – it's in the low-70s, around $73 million.
John Rowan: Okay. And just to kind of go back to the question on credit, so you're maintaining your guidance of 55% to 65% gross profit margin, but the fair value marks that you took, I guess, conceived a better credit outlook. With guidance remaining unchanged, that mean, that we're just still within that range, but maybe on a different side of the range or are there potentially more fair value positive marks to come particularly in the consumer side where you said that the fair value would settle in between 105 and 110, it looks like you're at [105, 106] for the quarter. I'm just trying to balance out what's driving that gross profit margin, whether it's the credit or whether or not there's more fair value marks to come?
Steven Cunningham: So John, I think, there's a couple things in there, right. So the fair value marks really are most sensitive to our outlook for credit performance over time, right. So if you go way back and look at when we originally adopted fair value, we were at on January 1, 2020, which we were a little bit more consumer oriented, we were at around 107, which is – probably the last time, we've been in sort of a normal steady state environment. So that's kind of the way to think about what I said for consumer, and it can vary depending on our growth trajectory. So the seasonal pattern in consumer can drive a little bit of the variation in that range. But if you're continuing to see charge-offs that are in a consistent range and delinquencies that are in line with our expectations, those fair value marks are going to be in those sort of in that general vicinity. Same thing with small business, you should expect the same type, it's most sensitive to our outlook and modeling for future credit performance. So as we're adding more, and those loans continue to perform and you get into a more steady state normalized environment, we'll settle into sort of those normal fair value ranges that you would expect. And at the same time on the net revenue margin, which I think you were also asking about, I've talked about 55% to 65% when you get to sort of that steady state growth pattern that we expect to get to over time. The consumer side of that equation is probably somewhere in the 50% to 60% range and the small business is probably somewhere in the low-60s to low-70% range. I think that's how you should think about it. But at the end of the day, it's around – the net revenue margin is going to be sensitive to charge-offs in the current period, which can be impacted by seasonality and the growth pattern and fair value is going to be impacted similarly, but to a less extent and more driven by our outlook for credit over time.
John Rowan: All right. Thank you.
Operator: [Operator Instructions] And this will conclude our question-and-answer session. I'd like to turn the conference back over to David for any closing remarks.
David Fisher: Thanks, everybody, for joining our call today. We look forward to talking to you again next quarter. Have a great evening. Bye-bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines at this time.